Operator: Hello, everyone. Thank you for joining us, and welcome to the DXP Enterprises Fourth Quarter 2025 Earnings Release. [Operator Instructions] I will now hand the call over to David Little, CEO. Please go ahead.
Kent Yee: Well, thank you, Jade. This is actually Kent Yee. I'll jump in here and have a small disclaimer in front of the call, and then I'll turn it over to David Little, our CEO and Chairman. This is Kent Yee, and welcome to DXP's Q4 2025 Conference Call to discuss our results for the Fourth Quarter and Fiscal Year Ending December 31, 2025. As I mentioned, joining me today is our Chairman and CEO, David Little. Before we get started, I want to remind you that today's call is being webcast and recorded and includes forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis are contained in our SEC filings. DXP assumes no obligation to update that information as a result of new information or future events. During this call, we may refer both GAAP and non-GAAP financial measures. Reconciliation of GAAP to non-GAAP measures is included in our earnings press release. The press release and an accompanying investor presentation are now available on our website at ir.dxpe.com. I will now turn the call over to David Little, our Chairman and CEO, to provide his thoughts and a summary of our fourth quarter and fiscal 2025 performance and financial results. David?
David Little: Thanks, Kent, and thank you to everyone who is joining us today for DXP's Fourth Quarter and Fiscal 2025 Earnings Call. I am pleased to report that 2025 was an exciting year for DXP with strong performance across all our key financial metrics, including sales, sales per business day, gross profit margins and adjusted EBITDA margins. These results reflect the continued strength of our DXPeople, products and operating model and our ability to serve customers across a broad and diverse set of end markets. On behalf of more than 3,286 DXPeople you can trust, I want to thank our customers, suppliers and shareholders for their continued trust and support. Fiscal 2025 was a year of execution, and our results demonstrated the benefits of diversification, scale and disciplined capital allocation. For 2025, DXP sales grew 11.9% to $2 billion, while gross profit margins expanded 67 basis points to 31.5%. Adjusted EBITDA reached $22.3 million -- $225.3 million with an 11.2% margin. This was a record year for both sales and adjusted EBITDA margins, and it marked an important milestone as we continue to scale the business. Operating income increased 21.7% year-over-year to $176.9 million. And diluted earnings per share improved to $5.37, up from $4.22 in fiscal 2024. Sales per business day continued to improve throughout the year, averaging $7.57 million in the first quarter and increasing to $8.51 million by the fourth quarter and fiscal year 2025 average sales per business day of $8 million as compared to $7.1 million in fiscal year 2024. These results reflect solid organic growth and contributions from accretive acquisitions, all while maintaining a focus on operating efficiencies. A core component of our strategy continues to be diversification of end market exposure while building scale in markets where we have a strong competitive position. At the physical -- at our fiscal 2025, energy represented 22% of DXP sales, followed by water and wastewater at 15%, general industry at 15%, chemical at 10%, and food and beverage at 7%. This diversification has meaningfully reduced our cyclicality and helped drive more consistent performance over the last several years. We are encouraged by the interplay of these markets as we move into fiscal '26. Note that over the last few years, energy market has been flat and our other markets like water and wastewater have grown substantially. We continue to pursue growth markets and battle increased market share on our other markets. Thank you, DXP sales and operation professionals for teaming up together and winning for our customers and stakeholders. Thank you to our corporate support team for their efforts to support both our internal and external customers. Thank you, DXP, for an awesome year. During the year, we continued to execute on our capital allocation priorities. We completed 6 acquisitions, including Arroyo, McBride, Moores Pump, APSCO, Triangle Pump and Pump Solutions, all of which strengthened our capabilities and expanded our reach. We also continue to execute on our share repurchase program, returning $17 million in capital to shareholders, and we refinanced our debt in the fourth quarter, improving flexibility and positioning DXP for both growth and acquisition growth and organic growth and acquisition growth in 2026. From a segment perspective, Innovative Pumping Solutions led the way, growing 26.4% year-over-year to $390.3 million. Growth was driven by strength in energy, water-related project activity, along with contributions from recent acquisitions. In terms of IPS, our Innovative Pumping Solutions, it bears repeating that we have 2 broad businesses tied to capital budgets or what we refer to as project work, DXP's heritage energy-related project work and DX Water. Within IPS, DXP's Water represented 55% of the segment sales in 2025, up from 46% last year. As we have grown this platform, we have seen improvements in both gross and operating income margins. The DXP Water backlog continues to grow organically and through acquisitions, including Triangle, APSCO and Pump Solutions. Energy-related bookings and backlog remain at an all-time at our long-term average, although they have pulled back in Q3 and Q4, and we look to Q1 to see if we have any trends emerging. As we move to 2026, we feel good about how this backlog translates into revenue given the large projects that we are still in the process of completion. But we look to this quarter of 2026 to see if we get new bookings. Service Centers delivered 11% total sales growth, including 9.8% organic growth, driven by the diversity of end markets and our multiple product MRO-focused operating model. A few growth initiatives that are helping DXP growth percentages include technical products like automation, vacuum pumps, new pump brands for water and industrial markets, process equipment and filtration. New markets like data centers, need pumps, water, power, cooling, filtration, which DXP has continued to add and expand. We have added an e-commerce channel for the generation that wants to buy pumps and parts electronically, which had a record year for DXP in 2025. Growth was broad-based geographically, but regions with experienced notable sales growth year-over-year included Ohio River Valley, Southeast, Texas Gulf Coast and California. We also had continued strength year-over-year in air compressors, U.S. Safety Services and metalworking. Supply Chain Services experienced a modest decline year-over-year, primarily due to customer facility closures and reduced activity at certain energy-related sites. That said, SCS continues to invest in its customer care model and remote technologies, allowing us to expand service offering to customers with some smaller sites while improving efficiencies. We believe demand for SCS services is increasing and these capabilities gain traction, we will look for sales growth in 2026. From a margin, cash flow and financial position standpoint, DXP's overall gross profit margins for the year were 31.5% or a 67 basis point improvement over 2024. IPS delivered the largest year-over-year expansion with 166 basis point improvement, followed by Supply Chain Services with 121 basis points and lastly, Service Centers with a 59 basis point improvement as compared to 2024. These gains reflect a combination of mix, pricing and execution as well as the impact of accretive acquisitions. In terms of cash flow, we generated $94.3 million in cash from operating activities, which translated into $54 million of free cash flow during fiscal 2025. This reflects our focus on generating cash while continuing to invest in working capital and growth capital expenditures to support DXP. Our balance sheet remains strong, providing flexibility to continue executing on acquisitions and returning capital to stakeholders -- shareholders. As we move into fiscal 2026, our focus remains on maintaining margin discipline while driving organic growth, executing on strategic acquisitions and improving operational efficiency as we scale. We continue to see constructive demand across energy, water and industrial markets, and we remain mindful of inflation dynamics and supply chains variability. Since 2022, DXP has grown sales at a 15% compounded annual growth rate, and we believe our strategies and our operating model positions us well to continue this trajectory over the long term. In closing, I want to thank our DXPeople for their passion, teamwork and commitment. Their efforts continue to differentiate DXP and create value for our customers and stakeholders. With that, I will now turn it to Kent to review the financial model in more detail.
Kent Yee: Thank you, David, and thank you to everyone for joining us for our review of our fourth quarter and fiscal year 2025 financial results. Fiscal year 2025 was another record year for DXP, reaching new highs in sales, gross profit margins and adjusted EBITDA. It is also our first year of sustained 11% plus adjusted EBITDA margins and our third fiscal year of 10% plus adjusted EBITDA margins. We are excited to report this year's financial results. Additionally, with the consistent upward movement in our stock price and growth in our market capitalization, we are now an SEC large accelerated filer, and we are excited to report fiscal 2025 financial results under a quicker time frame. Thank you to everyone who made this happen. Turning to our financial results. Fiscal year 2025 financial performance reflects our ability to drive the following: strong sales growth within IPS, along with an accelerating contribution from DXP Water, record Service Center performance marked by continued growth in sales from Q1 through Q4 and gross margin strength and stability, consistent consolidated gross margin performance with 2025 gross margins up 67 basis points year-over-year, consistent operating leverage leading to sustained adjusted EBITDA margins, more notably, our first fiscal year of 11% plus adjusted EBITDA margins, continued execution of our acquisition strategy, completing 6 acquisitions contributing $96 million in sales in 2025, the successful refinancing and repricing of our Term Loan B, including raising an incremental $205 million in capital and reducing interest costs by 50 basis points and continued capital return to shareholders through our share repurchase program, a great year. Total sales for the fourth quarter increased 11.9% year-over-year to a record $527.4 million. This reflects an improvement in average sales per business day increasing from $8.03 million per day in Q3 with 64 business days to $8.51 million sales per business day in Q4 with 62 business days. Acquisitions that have been with DXP for less than a year contributed $21.9 million in sales during the fourth quarter. Total sales for DXP for fiscal 2025 were $2.0 billion, increasing 11.9% compared to fiscal 2024. For the full year, acquisitions contributed $96 million in sales. Average daily sales for fiscal 2025 were $8 million per day versus $7.13 million per day in fiscal 2024, a 12.3% increase. Adjusting for acquisitions, average daily organic sales were $7.6 million per day for fiscal 2025 compared to $6.7 million per day in fiscal 2024. That said, the average daily sales trends during fiscal 2025 improved from $7.6 million per day in Q1 to $8.5 million per day in Q4 or an increase of 12.5%. In terms of our business segments, Innovative Pumping Solutions sales grew 26.4% in fiscal year 2025 versus 2024, followed by Service Center sales growing 11% year-over-year and Supply Chain Services sales declining 1.4% year-over-year. In terms of Innovative Pumping Solutions, we continue to experience strong backlogs in both our energy and water and wastewater business. On a comparative year-over-year basis, our average energy-related backlog finished the year up 36.9% compared to 2024. That said, our Q4 energy-related average backlog declined another 9.3% from Q3. This is the second quarter of decline in the energy-related backlog, but the backlog continues to be ahead of all our averages. Additionally, January grew 5.3% over December. As David mentioned and as we have been discussing on previous earnings calls, we have booked a few large projects in both energy and water that we have recognized some revenue in 2025 and will continue into 2026. Now we will be looking to see what happens to our Q1 2026 average energy backlog. The conclusion continues to remain that we are trending meaningfully above all notable sales levels based upon where our backlog stands today. We also see strength in our IPS Water backlog as it continues to grow due to a combination of organic and acquisition additions. In terms of our Service Centers, our Service Center performance reflects our internal growth initiatives, along with our diversified and evolving end market dynamics. On a comparative basis, fiscal year 2025 is now our strongest year with $1.4 billion in sales and sets a new sales high watermark. Regions within our Service Center business segment, which experienced year-over-year sales growth include the Ohio River Valley, Southeast, Texas Gulf Coast and California. From a product perspective, we also experienced strength in our air compressors, metalworking and U.S. Safety Services divisions. Supply Chain Services sales performance reflects a 1.4% decrease year-over-year. Supply Chain Services sales performance reflects pullback in activity at oil and gas and our diversified chemical customer sites. Overall, we experienced reduced spend from existing customers while continuing to drive efficiencies and streamline purchasing that we bring to our customers. As expected, Q4 was impacted by seasonality with there being fewer billing days as SCS customers have facility closures and holiday hours. However, interest in demand for SCS services is increasing because of the proven technology and efficiencies they perform for all their industrial customers, and we expect a stronger 2026 as we onboard new customers. Turning to our gross margins. DXP's total gross margins were 31.54%, a 67 basis point improvement over fiscal 2024. This improvement is attributed to strength in gross profit margins across all 3 business segments with Innovative Pumping Solutions showing 166 basis point improvement from last year and Supply Chain Services improving 121 basis points. Additionally, the contribution from accretive acquisitions at higher overall relative gross margin versus our base DXP business helped drive consistent gross margins within consolidated DXP. Acquisitions continue to be accretive to both gross and operating margins. That said, from a segment mix sales contribution, Service Centers contributed 68%, Innovative Pumping Solutions, 19% and Supply Chain Services was 13%. This sales mix positively impacts our gross margins as we see an uptick in contribution from IPS compared to fiscal 2024. In terms of operating income, all 3 business segments combined increased 40 basis points in year-over-year business segment operating income margins or $38 million versus fiscal 2024. Service Centers, IPS and Supply Chain Services each had 14.54%, 18% and 8.7% operating income margins, respectively. The consistency in Innovative Pumping Solutions reflects the impact of our water and wastewater acquisitions at a higher relative operating income margin and a growing percentage of revenue or sales mix. DXP Water has gone from 22% of sales of IPS in 2023 to over 55% of IPS at the end of 2025. Total DXP operating income was $176.9 million or 8.8% of sales for fiscal 2025 versus $145 million and 8.1% of sales in fiscal 2024. Our SG&A for fiscal 2025 increased $48.2 million to $459.1 million. The increase reflects the growth in the business, the addition of acquisitions as well as incentive compensation and DXP investing in its people through merit and pay raises. Additionally, this also reflects an increase in our insurance premiums, continued investment in technology and our facilities as well as acquisition costs and growth initiatives. SG&A as a percentage of sales decreased slightly or 3 basis points year-over-year to 22.8% of sales. We still anticipate that DXP will benefit from the leverage inherent in the business despite increased operating dollars supporting our growth and the impact of acquisitions. Turning to EBITDA. Fiscal 2025 adjusted EBITDA was $225.3 million. Adjusted EBITDA margins were 11.2%. This is our third fiscal year with adjusted EBITDA margins in excess of 10% and our first year with adjusted EBITDA margins in excess of 11% for all 4 quarters. We will look to continue to expand margins in 2026 as recent acquisitions should enhance our margins and internal initiatives focused on efficiency extract operating leverage. In fiscal 2025, this translated into 1.5x operating leverage. In terms of our EPS, our net income for fiscal 2025 was $88.68 million. Our earnings per diluted share for fiscal 2025 was $5.37 per share versus $4.22 per share last year. Adjusting for onetime items, adjusted earnings per diluted share for fiscal 2025 was $5.42 per share. Turning to the balance sheet and cash flow. In terms of working capital, our working capital increased $70.7 million for December -- from December, excuse me, of 2024 and decreased $2.9 million from September of this year to $361.7 million. As a percentage of fiscal year 2025 sales, this amounted to 17.9%. This is an uptick from fiscal year-end 2024 and reflects the impact of acquisitions, business mix and an increase in DXP's capital project work. As we move into fiscal 2026, we will continue to grow into the working capital as a percentage of sales, specifically the impact from recent acquisitions. That said, we do anticipate further acquisitions, which could cause a move upwards, albeit we are focused on managing working capital as efficiently as possible as we scale and grow. In terms of cash, we had $303.8 million in cash on the balance sheet as of December 31. This is an increase of $155.5 million compared to Q4 of 2024 and $180 million since September. This reflects the refinancing of our existing Term Loan B in the fourth quarter and the strong cash flow generation we experienced during the fourth quarter, which we will touch upon later in my comments. As it pertains to our Term Loan B, similar to last year, during the fourth quarter, we announced that we refinanced and repriced our Term Loan B, maintaining our maturity of October 2030. We successfully repriced the Term Loan B, reducing our borrowing cost by 50 basis points to SOFR plus 325 versus SOFR plus 375 while also raising an incremental $205 million in capital to support our acquisition and investments program over the next 9 to 12 months. Over the last 2 years, we have successfully reduced our borrowing cost by over 150 basis points while raising an incremental $310 million in capital, and we have deployed $218.3 million for acquisitions through 2025. We look forward to an exciting acquisition year and the continued scaling of DXP. In terms of CapEx, CapEx for fiscal 2025 was $40.3 million versus $25.1 million in fiscal 2024. This increase reflects investing in some of our facilities and equipment, software and related investments to drive improvement and efficiencies on behalf of our employees. That said, a majority of our CapEx is growth-oriented and controllable, and we have the ability to pivot if and when necessary. As we move forward, we will continue to invest in the business as we focus on growth. As mentioned during the second quarter, over the short to medium term or the next 1 to 2 quarters, we should see CapEx lessen, and we will look for it to be less overall in 2026. Turning to free cash flow. We generated solid operating cash flow during the fourth quarter as we did during the second and third quarter. During Q4 and for fiscal 2025, we had cash flow from operations of $42.6 million and $94.3 million, respectively. For fiscal 2025, this translated into $54 million in free cash flow. This does reflect the improvements in profitability along with elevated CapEx, which is primarily growth oriented, and we expect to taper again in fiscal 2026. Additionally, we continue to focus on tightly managing our capital projects, which we see as an opportunity to further generate and optimize cash flow. We have highlighted this in the past as recurring investments in inventory, product and costs in excess of billings. That said, we continue to focus on tightly managing this aspect of our business from a cash flow perspective and look to align billings with the investments and we look to make further strides here in 2026. Return on invested capital, or ROIC for fiscal 2025 was 39.2% and continues to be measurably above our cost of capital and reflects the improvements in EBITDA and operating leverage inherent within the business. Additionally, it also points to our recent acquisitions performance and their positive contribution and accretive impact to both gross profit and EBITDA. As of December 31, our fixed charge coverage ratio was 2.1:1 and our secured leverage ratio was 2.3:1 with a covenant EBITDA for the last 12 months of $241.1 million. Total debt outstanding on December 31 was $846.8 million. In terms of liquidity, as of December 31, we were undrawn on our ABL with $31.5 million in letters of credit with $153.5 million of availability and liquidity of $457.3 million, including $303.8 million in cash, which a portion of has been used to purchase Mid-Atlantic, PREMIERflow and Ambiente, which we've closed subsequent to fiscal year-end. We are excited to have all 3 recent acquisitions as a part of DXP, and they will start reporting with us for the first quarter of 2026. All of you, welcome to DXP. DXP's acquisition pipeline continues to grow and the market continues to present compelling opportunities. Looking forward, we expect this to continue through fiscal 2026, and we look forward to closing a minimum of 1 to 3 additional acquisitions by the middle of the year. We remain comfortable with our -- with our ability to execute on our pipeline and valuations continue to remain reasonable. In terms of capital allocation, we repurchased or returned $17 million to shareholders via our share repurchase program in fiscal 2025 or a total of 182,000 shares of DXP stock. In summary, we continue to remain excited about the future of building the next chapter and evolution of DXP. We will keep our eyes focused on those things we can control and what is ahead of us. With that, I will now turn the call over for questions.
Operator: [Operator Instructions] Your first question comes from Zach Marriott of Stephens.
Zachary Marriott: Is there any color you can share on the daily sales trends by month for both Q4 and Q1 thus far, please?
Kent Yee: Zach, great to hear from you. Absolutely. We'll walk through Q4. And then given the fact that we filed earlier this year and being a large accelerated filer, we just really have January, but we'll give some color there. Starting in October, $7.5 million per day; November, $8.2 million per day; December, $9.8 million per day for a quarterly average of $8.5 million per day. January was $6.9 million per day. To give you context, that's up year-over-year 2%, if you will. January also typically is, if not the lowest month in the year, typically is always typically our slowest month in the year. So that's what we have at this point in time and feel good with how February is shaping up.
Zachary Marriott: Understood. And then is there anything that should drive a meaningful margin difference, whether up or down when comparing 4Q with 1Q?
Kent Yee: You mean on a go-forward basis. We don't necessarily specifically provide any guidance, Zach. But once again, to the comments we made during our script, water continues to be accretive to both gross and operating income margins. And in Q4, obviously, this year, a little bit different than last year, we closed 3 acquisitions: APSCO, Triangle and Pump Solutions. So if they perform what we saw from a due diligence standpoint, that should be accretive to our margins here in Q1.
Operator: There are no further questions at this time. This concludes today's call. Thank you so much for attending.
David Little: Wait a minute. I'd give Zach more time if he needs it.
Operator: Absolutely. One moment please.
Zachary Marriott: Sure. I got one more. Just looking for some color on the positive dynamics that you guys called out developing in energy in the second half of this year. Would this be conversion backlog or something else?
Kent Yee: I'll let David comment on the overall tone, but just in terms of from a backlog perspective, Zach, what our comments were is in transparency, we did see another decline in Q4. That said, the tone in our business planning was everybody was quoting jobs and there was a fair amount of quote activity. And so the early expectation, the way I put it is for 2026 from an energy perspective potentially to be more back-end weighted. But I'll let David comment and see if he has anything.
David Little: Yes. From our operating perspective, we're just seeing a lot of quoting activity. So we go back to the third quarter and fourth quarter, and so our bookings seem to be light. So we followed up with what our quoting activity and what about the projects in the future and et cetera. And so I think in general, people felt like that people had things on hold a bit and maybe that was political, maybe it wasn't. I'm not sure. But they just felt like that things would start being turned loose sort of at the beginning of the year. And then, of course, that affects sales towards the end of the year. Anything else, Zach?
Zachary Marriott: No, sir.
Operator: Okay. At this time, there are no further questions. I will now turn the call back to David Little for closing remarks.
David Little: Yes. My remarks basically to all the stakeholders and DXPeople. Just -- we had an awesome year. We feel like that between organic and inorganic growth that we're going to have another good year. And so thanks for that. Thanks for all the hard work on trying to drive whether that's new computer systems or new sales processes, et cetera. I know we work to improve continuously. And even though our SG&A only modestly improved, it did improve. So I'm happy about that. And -- but anyway, thanks for a great year, and we look forward to next year.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.